Operator: Good day and welcome to AIG's Fourth Quarter and Full Year 2024 Financial Results Conference Call. This conference is being recorded. Now at this time, I would like to turn the conference over to Quentin McMillan. Please go ahead.
Quentin McMillan: Thanks very much, Michelle, and good morning. Today's remarks may include forward-looking statements, which are subject to risks and uncertainties. These statements are not guarantees of future performance or events and are based on management's current expectations. AIG's filings with the SEC provide details on important factors that could cause actual results or events to differ materially. Except as required by applicable securities laws, AIG is under no obligation to update any forward-looking statements, circumstances or management's estimates or opinions should change. Today's remarks may also refer to non-GAAP financial measures. A reconciliation of such measures to the most comparable GAAP figures is included in our earnings release, financial supplement and earnings presentation, all of which are available on our website at aig.com. Following the deconsolidation of Corebridge Financial on June 9th, 2024, the historical results of Corebridge for all periods presented are reflected in AIG's consolidated financial statements as discontinued operations in accordance with US GAAP. Additionally, in the fourth quarter, AIG realigned its organizational structure and the composition of its reportable segments to reflect changes in how AIG manages its operations, which our Chief Financial Officer, Keith Walsh, will discuss in detail during his remarks. Finally, today's remarks related to AIG's adjusted after tax income per diluted share as well as General Insurance results, including key metrics such as underwriting income, margin, and net investment income are presented on a comparable basis, which reflects year-over-year comparison adjusted for the sale of Crop Risk Services and the sale of Validus Re as applicable. Net premiums written and net premiums earned are also presented on a comparable basis, which reflects year-over-year comparison on a constant dollar basis and adjusted for the sale of Crop Risk Services, Validus Re, and the global personal travel and assistance business as applicable. We believe this presentation provides the most useful view of our results and the go forward business in light of the substantial changes to the portfolio since 2023. Please refer to pages 37 through 39 of the earnings presentation for reconciliation of such metrics reportable on a comparable basis. With that, I'd now like to turn the call over to our Chairman and CEO, Peter Zaffino.
Peter Zaffino: Good morning, and thank you for joining us today to review our fourth quarter and full year 2024 financial results. Following my remarks, Keith will provide additional perspectives on our financial results, and then we'll take your questions. Don Bailey and Jon Hancock will join us for the Q&A portion of the call. Before I begin, on behalf of all of us at AIG, I want to acknowledge the devastating impact of the recent wildfires in California on families, communities and the businesses affected. Our local teams remain on the ground in California, providing critical expertise and support to our customers and partners. This tragic event serves as a stark reminder of the escalating risks, elevated catastrophe landscape and the complicated evolving environment that we operate in. It also underscores AIG's purpose to help our customers and clients navigate these challenges with resilience in rebuilding communities and restoring businesses. Let me take a moment to cover what I will walk you through during my remarks this morning. First, I will briefly share highlights from our strong fourth quarter performance. Second, I will discuss our 2024 strategic and operational accomplishments. Third, I will provide an overview of the full year financial results for AIG and our General Insurance business. Fourth, I will comment on the reinsurance market, including the January 1 renewals and provide some observations on the impact of the recent California wildfires. And lastly, I'll provide an update on the progress we have made on our capital management strategy, our path to achieving a 10% plus core ROE and how we are positioning the company for 2025. Let's begin with the fourth quarter results. We recently announced a realignment of our General Insurance business into three segments. North America Commercial, International Commercial and Global Personal. All of our comments will be aligned to these segments. During the quarter, we continued to deliver exceptional underwriting results and we maintained rigorous expense discipline. General Insurance reported strong net premiums written of $6.1 billion, an increase of 7% year-over-year led by 8% growth in Global Commercial lines. Global Commercial generated new business of $1.1 billion a 16% increase year-over-year along with continued strong retention of 86% across the portfolio. Net premiums earned of $6 billion grew 6% year-over-year. Adjusted after tax income per share grew 5% year-over-year to $1.30 per share. The calendar year combined ratio was 92.5%. And the accident year combined ratio, excluding catastrophes, was 88.6% which was an outstanding result. 2024 was a terrific year of accomplishments for AIG, during which we not only delivered strong financial performance, but also successfully executed significant strategic and operational initiatives. We delivered disciplined growth in our businesses with a primary focus on risk adjusted returns supported by our underwriting expertise. We reshaped the portfolio, including divesting a number of non-core businesses. Following the sale of Validus Re in November of 2023, we closed on the sale of the global individual personal travel insurance business in December of 2024 to further position us for the future. While these divestitures help to further simplify AIG, the biggest accomplishment of the year was the deconsolidation of Corebridge Financial. The separation was a four year journey during which we strategically positioned Corebridge for its future while creating a new capital structure for AIG. Some of the major milestones of the Corebridge journey included establishing a very important partnership with Blackstone through an initial 9.9% sale in 2021, executing the largest US IPO in 2022, setting up a strategic asset management partnership with BlackRock, divesting non-core foreign businesses, completing five successful secondary offerings, two of which were in 2024 and culminating in the fourth quarter with AIG sale of a 22% stake in Corebridge for $3.8 billion to Nippon Life, securing another strategic partner for the company. With the accounting deconsolidation of Corebridge, AIG is now a less complex and more streamlined global business. AIG Next was another operational accomplishment in the year, which further supported our journey to make the company leaner, weave the organization together and reduce expenses. We exited 2024 achieving $450 million in run rate savings as part of the program and we expect the remaining benefits to be realized in the first half of 2025. We also continue to successfully execute on our capital management strategy in a very disciplined manner with nearly $10 billion of actions in 2024. AIG reduced shares outstanding by 12% and increased the quarterly dividend per share by 11%, resulting in the return of $8.1 billion of capital to shareholders. We received over $4 billion in dividends from our subsidiaries due to the improved profitability of our operations. We further reduced our debt to total capital ratio to 17% and we ended the year with $7.7 billion of parent liquidity. Our capital management actions to-date have provided us with tremendous financial flexibility. Another strategic accomplishment in 2024 was the delivery of AIG's first generative artificial intelligence large language model powered solution to support business growth. Specifically, we implemented AIG Underwriter Assist, which automates qualitative unstructured data extraction from underlying submissions, internal AIG data sources, and external research in minutes to support underwriter review of submissions. To support and advance our GenAI aspirations, we've cultivated an ecosystem of top tier technology partners, including Palantir, Anthropic and AWS in support of an agentic architecture operating model that allows for maximum flexibility. We also launched the Reinsurance Syndicate 2478 at Lloyd's through a multiyear strategic relationship with Blackstone as part of AIG's Outwards Reinsurance Program. The syndicate began underwriting on January 1, 2025 and now serves as a key component of AIG's reinsurance strategy, which I will go over in more detail later. Turning to the financial results for the full year 2024. Adjusted after tax income was $3.3 billion or $4.95 per diluted share, an increase of 28% year-over-year. The improvement was primarily driven by stronger underlying underwriting results, expense reduction benefits from AIG Next, an increase in net investment income and the execution of our balanced capital management strategy. General Insurance delivered terrific financial performance for 2024. For the full year, net premiums written were $23.9 billion, a 6% increase year-over-year. Net premiums earned were $23.5 billion, a 7% increase year-over-year. The accident year combined ratio as adjusted was 88.2%, which marked the sixth consecutive year of improvement, largely driven by the GOE ratio. The full year General Insurance combined ratio was 91.8%. This was the third consecutive year of a sub-92% combined ratio. Prior year reserve development, net of reinsurance and prior year premium was $289 million a benefit of 1.4 points to the loss ratio. General Insurance full year underwriting income was $1.9 billion roughly in line with the prior year despite higher catastrophe losses. In Global Commercial, net premiums written of $16.8 billion increased 7% year-over-year. North America Commercial grew net premiums written by 9% year-over-year. Lexington grew net premiums written by 14% fueled by robust new business of $1.1 billion and a 42% increase in submissions year-over-year, and that was balanced across all lines. Retail casualty grew net premiums written by 11%, excluding the closeout transaction we mentioned in the third quarter. Our portfolio continues to benefit from a strong rate environment, high retention of our existing portfolio at 93%, and we have select opportunities in new business. International Commercial grew net premiums written by 4% year-over-year, driven by energy at 13%, retail property at 11% and Talbot at 7%. Global Personal grew net premiums written by 3% year-over-year, driven by International Personal Auto at 8% and our high net worth business at 6%. I would now like to turn to reinsurance and provide some observations on the market and an update on AIG's reinsurance renewals at January 1 of this year. Overall, AIG had a very strong 01/01 renewal season. Since the reinsurance market's major reset on January 1 of 2023 our consistency in strategy, placement and execution has positioned us very favorably. Benefiting from an environment of higher retentions and commensurate pricing increases, property reinsurers sought to deploy more capital, but were predominantly focused on upper layers with more remote return periods. Depending on loss activity, limited additional demand led to risk adjusted rate reductions that were consistent with expectations, with the bottom catastrophe layers renewing flat to down 5% and upper catastrophe layers receiving reductions of 10% to 15%. I want to provide some context and observations on the changes in the market as a result of the increase in reinsurance retentions, which I've mentioned on previous calls is creating an interesting dynamic for the market in 2025. One insightful statistic from an Aon study of over 150 companies over the past ten years is that retentions have risen significantly around the world with the US attachment points on average increasing by 280%. As a reminder, in 2024, insured loss from natural catastrophes was approximately 145 billion. The sixth costliest on record and this compares to the average for the last five years of 140 billion. With the increased retentions and increased catastrophe activity, much more of the risk is now being retained by insurance companies. In 2023 and 2024, primary insurance carriers are estimated to retain approximately 90% of the insured loss from natural catastrophes with the reinsurance industry absorbing 10%. Contrast this with the period prior to 2023, reinsurers would often share a significantly higher proportion of the insured loss with the distribution of losses between insurers and reinsurers at approximately 50-50 on average. Meanwhile, AIG is focused on maintaining lower excess of loss attachment points, including meaningful aggregate coverage to manage frequency of loss tailored to our geographic exposure and to the type of perils that we are exposed. Taking a closer look at wildfires and how the market has changed, the average annual insured loss from 2000 to 2024 was approximately 4 billion globally of which the US is the majority at 3.5 billion Narrow that period to the last ten years and average annual losses from wildfires have roughly doubled to around 8 billion of which 7.4 billion has occurred in the United States. Insured loss estimates for the California wildfires are currently coalescing around 40 billion with some estimates from credible catastrophe experts reaching as high as 50 billion. The economic loss is estimated to be in excess of 250 billion producing a protection gap of as much as 80%. Contrast that to the top 10 largest insured cat events on record, where insurance has typically covered 40% to 50% of the economic loss. As a point of reference, insurance covered approximately 50% of the economic loss from Hurricane Katrina, the largest natural catastrophe event this century. The California wildfires demonstrate the increased loss from secondary perils and the magnitude of tail events that are not captured well in modeling. In a month with one of the lowest model probabilities of loss, the California wildfires alone would make the first quarter of 2025 the second most costly first quarter for natural catastrophes on record. Fifteen years ago, adjusting for inflation, 100 billion was considered the benchmark for an outsized cat year. With the last eight years averaging more than 140 billion this thinking is clearly outdated. If you assume the upper end of the range for the California wildfires taking a $50 billion loss pick, adding the average annual insured loss for the past eight years, and assuming we have an active, but not abnormal wind season, which is realistic given the 2024 hurricane season experience and ocean temperatures are the warmest on record, 2025 could be a year of more than 200 billion of insured catastrophe losses. This could recalibrate the entire industry. AIG reduced our overall California exposure beginning in 2022. This decision, coupled with our 2025 reinsurance structure has effectively reduced our exposure such that the expected loss to AIG from the recent wildfires is approximately 500 million before reinstatement premiums and barring any unforeseen additional developments. Turning specifically to AIG's reinsurance outcomes at 01/01, we successfully maintained our prior objectives, our reinsurance purchasing strategy to preserve and optimize capital and enhance the quality of earnings through active management of the volatility of our underwriting results. Starting with our property catastrophe placements, our core commercial North America retention of 500 million remains unchanged in nominal terms for the third consecutive year despite growth in the underlying portfolio. We also expanded coverage and maintained our core international occurrence attachments and renewed our dedicated occurrence tower for our high net worth business, which attaches at 200 million. We improved our 500 million of aggregate protection by reducing the annual aggregate deductible for North America, creating a specific non-peak section and expanding the coverage for the high net worth portfolio. Overall, for North America, depending on loss distribution, AIG's modeled net first loss exposure, including the impact of reinstatement premiums is comparable to 2024 and our second and third event exposure is materially lower following its renewal cycle. For all of our major proportional treaties, we were able to improve or maintain our ceding commission levels, a strong recognition of our underwriting expertise and our position as a market leader across multiple classes. We were also able to establish two new proportional treaties to support the high net worth portfolio. Our strategy to establish Private Client Select as a standalone MGU and introduce capacity to support growth in the platform beyond AIG's balance sheet has been validated with the addition of five of the leading underwriting companies in the world to the platform, taking 30% of our homeowners and auto portfolios through quota share reinsurance. Casualty remains an area of caution for many reinsurers with appetite generally diminished. They are highly selective of the insurance companies they support. And overall, the casualty renewals were more orderly for the companies that have strong underwriting portfolios. We were pleased with the successful renewal of our core casualty treaties at favorable terms. This renewal cycle again signals the strong external industry recognition that AIG continues to be a leader in the casualty market. We remain optimistic on the outlook for our casualty portfolio and see considerable opportunities ahead, while being cautious and very focused on maintaining our high underwriting standards. Also of significance for AIG at 01/01 was our launch of a new dedicated reinsurance syndicate at Lloyd's supported by funds managed by Blackstone. This pioneering structure announced in December 2024 is an example of how insurance risk can be directly connected to sophisticated investors to generate attractive returns for both parties. The syndicate provides AIG with a long-term meaningful reinsurance partner and an additional source of fee income. Blackstone has access to a high quality, well diversified underwriting portfolio with the ability to generate attractive returns by taking a sizable participation in the majority of AIG's outward reinsurance treaties at market terms. We're pleased to partner with a leading global asset manager on its innovative structure. Our reinsurance strategy has played a pivotal role in our journey to establish AIG as an industry leading global P&C underwriter. We're grateful for the long-term support and partnership of the industry's leading reinsurers, which has helped position us where we are today. Turning to capital management, we continue to execute very well on our balance and disciplined strategy. We made major progress in 2024 and in many ways exceeded expectations. As we outlined last year, our guidance was to repurchase $10 billion of shares in 2024 and in 2025. The current guidance is expected to bring us within our target share count range of 550 million to 600 million shares. We have $3.4 billion of the $10 billion guidance that I provided remaining for 2025. We will likely exceed this guidance and we have over $5.6 billion remaining on our current share repurchased authorization. We expect to return to more normalized levels of share repurchases as we enter 2026, assuming we have no further sell downs of Corebridge or other additional sources of liquidity. We ended the year with a very strong parent liquidity of $7.7 billion. Additionally, we do not anticipate taking any actions that would significantly affect leverage in 2025. We are committed to reviewing our dividend annually and anticipate that we will increase our dividend in 2025 in line with the decrease in our share count over the past year, subject to AIG board approval. Going forward, our key focus is on profitable growth and allocating capital to the best opportunities for the most attractive risk adjusted returns. Our very early forecast indicates we're off to a strong start for 2025 and barring any unforeseen developments, we expect to achieve meaningful organic growth driven by our Global Commercial business and the benefits of our restructured reinsurance program. As a result of our disciplined capital management, combined with our sustained underwriting excellence and continued focus on expense management, we're well on track to deliver a 10% plus core operating ROE for the full year 2025. We have several ways in which we can deliver on this commitment. These are maintaining our strong underwriting results with a focus on improving Global Personal, improving our investment income yields, executing on a simpler, leaner business model across AIG and continued balanced capital management. In summary, I'm very pleased with our outstanding fourth quarter and full year 2024 performance. 2025 is a new chapter for AIG and we're moving forward with strong momentum. We continue to differentiate ourselves with deep industry expertise and disciplined focus on underwriting excellence and outstanding operations and claims capabilities, which drive exceptional value for our clients, partners and stakeholders. With that, I will turn the call over to Keith.
Keith Walsh: Thank you, Peter. This morning, I will provide details on fourth quarter results for General Insurance, net investment income and other operations as well as key balance sheet items. I would like to begin by addressing a few changes in our financial reporting. As Peter mentioned, we have realigned our General Insurance business into three reporting segments. North America Commercial, International Commercial and Global Personal. Global Personal lines have been consolidated into a single reporting segment. This brings together our Global Accident and Health, Personal Home and Auto, Global Warranty and Services and High Net Worth businesses. Along with our new reporting segments, we have updated the product line net premiums written disclosure on Page 8 of our financial supplement to give more transparency into the underlying trends in our businesses. The three segments and updated product line disclosure are reflected retrospectively in AIG's 2024 fourth quarter and full year financial results. Additionally, we have streamlined other operations to include activities only related to having a global regulated parent company and now exclude the results of runoff businesses from adjusted pre-tax income. We believe these changes enhance the clarity of our financial disclosures and provide a better representation and alignment of our core business. Historical results have been recast to reflect these changes with de minimis impact to operating EPS. Other operations now largely consists of net investment income from our parent liquidity portfolio, Corebridge dividend income, corporate general operating expenses and interest expense. Turning to our fourth quarter General Insurance results. Adjusted pre-tax income or APTI was $1.2 billion. In North America commercial, net premiums written increased 9% year-over-year, driven by strong new business, which grew 17% with retention of 85%. International Commercial net premiums written increased 7% year-over-year with new business growth of 15% and excellent retention of 88%. In Global Personal, net premiums written increased 1% on a constant currency basis. The sale of the Global Personal Travel and Assistance business, which closed in early December, was about a four point headwind to the year-over-year comparison. Adjusting for that, growth was 5% in the quarter on a comparable basis, driven by 16% growth in our Global High Net Worth business. The sale of the Global Personal Travel business will have an impact on the Global Personal segment in 2025. For full year 2024, this segment had $7.1 billion of net premiums written. When modeling 2025, the sale of the Global Travel business will remove approximately $720 million of net premiums written. This is a roughly 10 percentage point growth impact for the segment. General Insurance underwriting income for the quarter was $454 million, a $156 million decrease from the prior year quarter, driven entirely by higher catastrophe losses. General Insurance calendar year combined ratio was 92.5%. The accident year combined ratio as adjusted was 88.6%, a 30 basis point increase from the prior year quarter. This was driven by a slight increase in the accident year loss ratio, while the expense ratio remained flat despite absorbing more AIG parent expenses. Catastrophe losses were $325 million or 5.5 points on the loss ratio. This includes $224 million of losses from Hurricane Milton and an adjustment for prior quarters events largely from Hurricane Helene, which occurred on the final day of the third quarter. Turning to reserves and our detailed valuation reviews or DVRs. This quarter, General Insurance had $102 million of favorable prior year development, including $34 million from the ADC amortization, $16 million from our fourth quarter DVRs and $52 million from non-DVR adjustments, predominantly recognition of AVE on US short-tail lines. The fourth quarter's DVRs covered the remaining 10% or approximately $4 billion of our total loss reserves focusing on the remaining portion of US financial lines, global personal lines Canada and Glatfelter. The favorable prior year development was primarily driven by Canada Casualty and US E&O. We conduct a comprehensive DVR annually for each product line across our $40 billion of reserves. While DVRs are spread across quarters, we have a robust year-round process on our entire book in addition to our quarterly DVRs. Going forward, our comments will focus less on reporting the DVR outcomes and more on our overall reserve analysis, which reflects AVE claims diagnostics and rate monitoring across all lines and geographies. One additional item I would like to discuss is a provisional reserve we created in 2022 in response to the potential uncertainty with inflation and other variables in the post-pandemic macro environment. This provision, which is included in IBNR, has been carried in the lines that we viewed as most susceptible to rising inflation with a large portion booked in our workers' compensation reserves. This year, we undertook a thorough review of the uncertainty provision which was set above the loss picks from our actuarial reviews and refined our analysis, including its allocation among our lines of business. The uncertainty provision did not reflect any emergence and we have maintained the overall estimate. However, we have decided to reduce the provision in excess workers' comp and reapportion approximately $150 million of the provision within excess casualty. We elected to move this portion of the reserve to excess casualty as the development factors and the length of the tail can drive a wider range of outcomes on our reserves. To be clear, our traditional reserve methods are not indicating any emergence in excess casualty, but we felt, given the nature of the provision, it was more appropriate to be situated within this line. As a reminder, our reserving philosophy is to react to bad news quickly and wait to recognize good news over time as we monitor developments. Moving on to rates and pricing. Fourth quarter Global Commercial Lines pricing, which includes rate and exposure increased 5% year-over-year, excluding workers' compensation and financial lines. In North America Commercial, renewal rate increased 3% year-over-year or 7% if you exclude workers' compensation and financial lines. Exposures increased 2% year-over-year with an all-in pricing change above loss cost trend. Property market conditions were under pressure in the fourth quarter due to increased competition across both the admitted and E&S markets, while the underwriting margin remained healthy. Supported by the cumulative rate increases over the past several years and our disciplined approach. In North America Casualty lines, rate continued to outpace loss cost trend with increases in the mid-teens in wholesale and excess casualty. In North America financial lines, we continue to experience headwinds, but see indications that rate reductions are moderating. In International Commercial, overall pricing was flat or up 2% excluding financial lines. While rate is below trend, we feel good about our book given we've had over 60% cumulative risk-adjusted rate since 2018. Our well-diversified portfolio allows us to navigate different market conditions effectively prioritizing lines of business that offer the most compelling risk adjusted returns while upholding our underwriting standards. For the full year 2024, excluding workers' compensation and financial lines, Global Commercial lines pricing, which includes rate and exposure increased 6%, with 8% in North America and 4% in International. Turning to other operations. Fourth quarter adjusted pretax loss was $150 million, which improved 34% year-over-year. This was primarily driven by lower GOE reflecting AIG Next benefits as well as incremental movement of GOE into General Insurance. We continue to realize the benefits of AIG Next and push nonpublic company-related expenses into the business. We expect corporate GOE expenses to migrate towards approximately a $90 million per quarter run rate over the course of 2025. Interest expense improved $10 million year-over-year, as a result of our liability management, which reduced total debt by $1.6 billion in 2024. One other item I want to discuss is a runoff business, Blackboard. In the fourth quarter, we increased the prior accident year reserves for Blackboard by $112 million to reflect loss activity that has been well above what was expected. Turning now to investment income. For the full year 2024, net investment income on an APTI basis was $3.5 billion, up 13% from 2023, primarily driven by Corebridge dividends, an increase in short-term investment income and higher reinvestment rates on fixed maturities. Fourth quarter net investment income on an APTI basis was $872 million largely unchanged year-over-year. General Insurance net investment income was $779 million, including income on fixed maturities, loans and short-term investments of $720 million and alternative investment income of $72 million. Other operations net investment income was $93 million, consisting of income from our parent liquidity portfolio of $64 million and Corebridge dividend income of $29 million. During the fourth quarter, we continued to benefit from higher reinvestment rates on the fixed maturity and loan portfolio. The average new money yield of 5.38% was roughly 175 basis points higher than the sales and maturities in the quarter. The annualized yield on the fixed maturity and loan portfolio, excluding calls and prepayments was 3.92%, up four basis points year-over-year or three basis points sequentially. The fourth quarter alternative investment income was $67 million, an increase of $26 million year-over-year, driven by improved private equity performance, partially offset by lower hedge fund income owing to our strategy to reduce exposure. Private equity yielded 6.42% for the quarter, below our long-term expected return of 7.5%. The makeup of our private equity portfolio is a little over 25% real estate and with the current macro environment, we expect pressure from this portion of the portfolio to continue through 2025. Turning to tax. The adjusted effective tax rate for the fourth quarter and full year was 24.6%. For 2025, we expect the adjusted tax rate to be in line with 2024, but may vary based on the geographic mix of income. We finished 2024 with a very strong balance sheet. Book value per share was $70.16 at year-end, up 8% from December 31st, 2023, mainly due to the favorable impact of lower interest rates on AOCI and reduced shares outstanding. Adjusted book value per share was $73.79 down 6% from year-end 2023, primarily due to the impact of Corebridge deconsolidation. Core operating ROE was 9.1% in the quarter and for the full year. As Peter laid out, we are committed to achieving our target of a 10% plus core operating ROE for the full year 2025. As Peter mentioned, we had a substantial $6.6 billion returned to shareholders in 2024 through share repurchases and are well on our way to completing our guidance of $10 billion of repurchases in 2024 and 2025. Through February 7, we have repurchased $952 million of shares year-to-date in 2025. We are proud of the significant progress we've made in 2024 and the ability to deliver outstanding core operating results while successfully executing significant transformation initiatives. With that, I will turn the call back over to Peter.
Peter Zaffino: Thank you, Keith and Michelle, we're ready for questions..
Operator: Thank you. [Operator Instructions] Our first question comes from Alex Scott with Barclays. Your line is open.
Alex Scott: Hey, good morning. First one I have for you, excuse me, is on the core ROE that you gave. I just wanted to confirm that that's including the wildfire impact. And it looks like it's running a bit better than I would have expected based on the combined ratios that you've talked about in the past and corporate expenses and so forth. So I was just interested if you define it all on maybe some of the things that you're running ahead on or that are improving relative to some of those comments you've made in the past? Thanks.
Peter Zaffino: Yes. Certainly, Alex. And, yes, we are confirming the 10% plus ROE including the $500 million wildfire that we had in January. If I could spend a second, I think we've done an exceptional job over the past few years of structuring our sort of global portfolio structuring the reinsurance to supplement that and having net retentions well within our expectations and what we budget. If I look at what we do budget for AAL over the last couple of years relative to our overall experience, it's been exactly where we anticipated even with elevated activity. So this is no different. I mentioned on the call that we're going to take first event losses around the same with reinsurance that we did in 2024, but second and third events will be less. And so that's how we structured it. And we are confirming guidance on the 10% including what happened in January. I think Keith noted that we have a lot of different ways in which we can sort of drive improvement in terms of earnings. I did as well in my prepared remarks. We're really pleased with the commercial portfolio and how it's performed on a combined ratio basis. We just continue to, I think, elevate our overall performance. I have singled out personal because I think that combined ratio is not where any of us want to be. We consolidated that under one leader. Jon Hancock, he's shown exceptional leadership in what he's done with the commercial portfolio in international. And I think it's going to give us a much better line of sight on the overall portfolio in terms of how we can improve it, which we fully expect to do. I think there's opportunities in NII further capital management. And I think we reconfirmed what we're doing on return of capital to shareholders. So I think we have a lot of very positive momentum and want to confirm guidance. Do you have a follow-up, Alex?
Alex Scott: Yes. So as a follow-up, I'd just be interested in some of the areas you're targeting towards organic growth. And maybe in particular, your updated view on price adequacy just given some of the declines in property pricing in E&S and then maybe also on casualty?
Peter Zaffino: Okay. I'm going to have Jon Hancock and Don Bailey talk a little bit about the growth because they've done an exceptional job in terms of outlining where our portfolio can grow, focusing on risk-adjusted returns. What I would say and this is complementing their efforts is that we've just done a tremendous job in terms of client retention focusing on an underwriting culture of maintaining and improving profitability. And so like we deploy capital where we think we have the best opportunities for improved risk adjusted returns. And they've done an exceptional job on new business in targeting parts of our business where we think we can have those outsized returns over time. And I think that's how you've seen the portfolio shape. So Jon why don't I start with you in terms of international and maybe give us a little bit of insight in terms of the growth.
Jon Hancock: Yes. Okay. Thanks, Peter, and Alex. Growth through retention and new business was strong in the quarter. Peter and Keith called out a lot of that in their opening remarks, so I won't repeat it now. But what I will say is, we're working from such a strong base in this commercial portfolio in international. And when we look at where we've been growing, if you look at the quarter, there's a lot of seasonality across international. For example, in Q4, 50%, more than 50% of our net premiums come from just two lines. We like the global specialty and financial lines, but that's not the full year mix. So I think looking at growth, looking at new business, quarter-on-quarter isn't always the most insightful way. And Q4 is obviously the end of the year as well. So I think it's a good time to reflect on what we've been doing the whole of 2024 and talk about that momentum that we have been building. If I look at the full year, Keith called it out, 4% growth in the year across International Commercial. Renewal retention in the full year, 89%. I'm really, really pleased with that on such a good book of business. And new business for the year, more than $2 billion of new business during the year in International Commercial. Again, a great outcome, really reflective of the fact that we're still seeing great new business opportunities all around the world actually. And I also do want to make clear that new business is a big driver of our growth. We manage the quality, the price advocacy of our new business just as closely as we do our renewal book. And we trade on a value we offer. Our recognition as market leader, first class claims, risk management, strong balance sheet, not just price and that matters to a lot of customers. And if I could, I know you asked about property specifically. If I can just call out two places where we've been working really hard with our distribution partners on being clear on risk appetite, building propositions that customers want, building strong opportunity pipeline. That's where we've been getting the growth momentum from, and that's what we will see all through this year. There's too many areas to call out across international, but Global Specialty. A number of new business submissions up 24% year-on-year. Marine absolutely outstanding at 46% increase. Our straight rate on the business, we quote more than 25%. And again, Marine Energy, which Peter talked about earlier, 40% strike rates. So that's more than $700 million of new business in Global Specialty. Just a final one to show that momentum. Our commercial property book another standout. We spent a lot of time fixing and repositioning that portfolio. And we've now seen over the last couple of years, really strong growth and profit. Growth of 11% in the year. We're still seeing strong mid-digit rate rises as well as growth and some real high quality new business. The rating environment today, as Peter said earlier, is different to what it was in Q4. So we see lots of great opportunity all over and we'll build on that momentum.
Peter Zaffino: That's great, Jon. Thank you. Don, maybe I just want to have a little bit of a highlight of achievements in North America in terms of growth.
Don Bailey: Great. Thank you, Peter. I'll break down the North American Commercial numbers. For 2024, and you mentioned this, we grew net premiums by 9% driven by retention and our new business. We had strong retention of 91% in retail and 76% in wholesale. We also delivered impressive new business growth like Jon in North America, 15% up on a year-over-year basis and that's on top of 14% new business growth in 2023. This growth is intentional, it's strategic, it's diversified. With the great work over the past few years in our portfolio, we came into 2024 with distribution engagement as a top priority for us in all the channels in which we operate and it's paid off. Our new business was strong through all three channels. Retail, wholesale and alternative. With Lexington, we had another strong year. They represented 48% of our new business. Lex property, casualty, western world, all delivered. And as Peter referenced, Lex another big increase in submissions, 42% increase on a year-over-year basis. And there's a clear opportunity to harness the strong submission activity there to drive growth as we go forward. The rest of the new business was balanced across the portfolio. And finally, Peter, I'll just say this at the end that our growth given our unique assets at AIG, we really are able to underwrite with great discipline within our risk appetites and target opportunities with attractive risk-adjusted returns. Thanks, Peter.
Peter Zaffino: That's great, Don. Jon, thank you. I know that answer was they were very thorough, but they're doing the work. And so I thought it would be really helpful to hear from them. Next question.
Operator: Thank you. Our next question comes from Meyer Shields with KBW. Your line is open.
Meyer Shields: Great. Thanks. Peter, I was hoping you could walk us through how we should think about the impact of the artificial intelligence deployed in underwriting? I know it's simplistic to say how many loss ratio points would have moved, but how should we think about it more broadly?
Peter Zaffino: Thanks, Meyer, and good morning. For us, I could spend a meaningful amount of time talking about GenAI and we fully intend to do that at Investor Day. Our focus has always been on driving growth certainly there's opportunities in contact centers and call centers and operational capabilities that through large language models, robotics that we will gain efficiencies. But for us, it's all about ingestion of data, getting more qualified data to the underwriters in a fraction of the time. And in order to do that, you need to be very disciplined sort of end-to-end. So how we ingest data from brokers and agents, how we define what data we want in the underwriting criteria when it gets to the underwriter, how do we load that into models and how do we get more data from credible sources that may supplement the underwriters' decision making in order to continue to improve the portfolio. If I use Lexington as an example, in 2017 and 2018, we received 40,000 submissions. This year, it's over 400,000. So it's more complex today than just building out algorithms to get to different industry groups or different classes of business. We want to get more to the underwriters real time. And so we've been doing this for the better part of 18 months. I said we built out a really strong agentic ecosystem with, again, data ingestion with Palantir, building out large language models with Anthropic and using other reliable third parties to help us accelerate the modeling. And so I think it's going to help us propel top line growth by getting more data, getting richer data sets, giving the underwriters more capabilities to underwrite and having it done in the fraction amount of time and doing it at scale.
Meyer Shields: Okay. Thank you. That's very helpful. The second question is on the timeline for getting the high net worth personal lines business to growth underwriting profitability. I don't know if there's anything you can share on that.
Peter Zaffino: Yes, absolutely, Meyer. And, look, I think we've been on that journey for a couple of years, and everybody has been patient with the story. We continue to improve the combined ratio. We continue to improve the loss ratio. And if you look at Global Personal, the biggest contributor in terms of that improvement, it was primarily all the private client service or a high net worth business. There was a significant improvement in the loss ratio and we expect that to continue. We have a balanced growth strategy with non-admitted as well as admitted and believe that as we see more submission activity, which we are, not admitted that we're able to deploy our capital with more flexibility to be responsive to client needs. So I'm thinking about structure pricing, the amount of limit that we can put out and it's not only in peak zones, it's in non-peak zones. And so we expect to see that continue to accelerate. We got to scale this year. And so we've renegotiated ceding commissions with PCS and so you'll see a meaningful improvement there, which should translate into overall expense ratio improvement and combined ratio improvement. And last I mentioned is that we have tremendous partners that have joined us based on how we've repositioned the portfolio and our encouraging growth. And so we have a 30% quota share with six participants all have very strong expertise in the high net worth space that are backing us for more growth. So I think we have it all moving in the right direction, attritional loss ratios, cat support from great partners and improvement in expense ratio and you'll see that contribute in 2025 to helping overall Global Personal improve.
Meyer Shields: Okay, fantastic. Thank you so much.
Operator: Thank you. Our next question comes from Jon Newsome with Piper Sandler. Your line is open.
Jon Newsome: Good morning. Congrats on the quarter.
Peter Zaffino: Thank you, Jon.
Jon Newsome: Two sort of big picture question. One is are we at a point where there are aspirational areas of business that AIG is not in that you would be looking for either on organic or inorganic basis? And I guess sort of relatedly on the other side of that question is where are we from a divesting of noncore businesses perspective? Are we pretty much done at this point?
Peter Zaffino: Sure. Thanks for the question. I'll start with the second one first. I think we are largely done. I mean, I don't ever say never or always. But I think we now have the portfolio in a place where we'd like it, certainly on the commercial side, and now having one segment for Global Personal. We know we have work to do, but really like the mix of the portfolio, its global balance and think that we can grow it. In terms of M&A, we're going to remain very disciplined. I always use the word when I get the question on the calls or I'm in front of you. It's around being, it has to be compelling, which just means that it's either going to be a geography that's complementary that actually adds value to AIG and our clients' products that we may not be in that we like and think that it's going to be accretive to ROE and how we grow our business. There are businesses that we have that have scale, but additional scale could be quite compelling. And so we are looking at that businesses that may do that and accelerate. And of course then there's complementary businesses that we may not be in that we think could be very additive to the platform. So we have a very disciplined approach. We always are looking around the world to see if there's things that are additive. But I do want to say I think we're at the size and scale where we don't need to add anything. We are showing, and I think Jon and Don provided tremendous insight as to why we think we can grow the business organically. We have a really strong capital base, which we can grow into, and believe that there's a path there. So I don't think it's an either or. I think we have now set the company up with enormous strategic and financial flexibility. We'll remain very disciplined as we look at inorganic, but we're very excited about the organic opportunities that are in front of us.
Jon Newsome: Great. Maybe as a second question. Do you have any thoughts on the regulatory environment? Clearly lots of, as my grandmother would say, interesting things happening in California from a regulatory perspective. But broader, do you think there's some changes here that are coming or do you think it's pretty status quo?
Peter Zaffino: Insurance is complicated because we're regulated state by state. And that makes every state a little bit different, right? And I think the ones that get the attention are going to be ones that have peak zone exposure like we're seeing within California. And California is particularly complicated because I relate it almost to Japan. It's a geography that has two major perils that drive catastrophe results. And so I was in Japan's typhoon quake, California's quake and now wildfire. And but there's regulators. We work very closely with them to try and be helpful and constructive on the changes that have happened in the catastrophe climate, which is looking at modeling, looking at loss cost, looking at cost of goods sold and looking at ways in which we can be more responsive to client needs. And I think that in California, we just saw that the modeling is flawed. It doesn't necessarily always take into account tail events. There's not a lot of model losses north of $40 billion. And so therefore, it becomes very complicated. And I don't mean this in California, but we're now seeing it, which is some of these state set up sort of vehicles that become a market of last resort be sometimes become a market of only resort and then they end up taking on a lot of aggregate. So I think we just need a reset in certain spots. And I think like insurance companies that have technical capabilities working very closely with regulators. I hope that we're going to position the businesses where we will have more flexibility in the future.
Jon Newsome: Thank you very much.
Peter Zaffino: Yes. Thank you.
Operator: Thank you. Our next question comes from Michael Zaremski with BMO. Your line is open.
Michael Zaremski: Great. Follow-up, morning, on the expense ratio. I heard the comments about ceding commissions improving, so that should be a positive going forward. The expense ratio has been running a bit higher than expected for a while now. I mean, obviously, the loss ratio has been excellent. So that's the main focus. But just curious if you're willing to give any specific more specific guidance on kind of what type of expense ratio level or acquisition expense ratio level we should be thinking about on a go-forward basis?
Peter Zaffino: Michael, are we talking about PCS and high net worth or just general insurance?
Michael Zaremski: Sorry, I was talking about the whole company, General Insurance.
Peter Zaffino: Yes. So let me unpack, I mean, again, I know with AIG, it's like with the divestitures and a lot of the moving pieces from other operations into General Insurance, it's complicated. But I'm actually really pleased with what we've done on the expenses. I think we've remained incredibly disciplined. We focused on a lean parent, which just meant that there's simplicity. There's not a lot of expenses sitting in other operations and they're going to be more in the business. So if I actually take you through what happened, and if you look at our financial supplement, you'll see $2.9 billion or thereabout $2.952 billion as sort of the expenses. But if you get underneath that, look, AIG Next, the business was very proactive in getting expenses out. And so we would have gotten around $125 million to $140 million out through AIG Next. But we've added in from other operations and other technology that would have sat in other operations, almost $200 million. And so the business has absorbed a lot of expenses as we reposition the company to have this lean parent very transparent, not with a lot of expenses and the business is absorbing it as we go. And so not only am I proud that they've been able to do that and we haven't had a blip, we also believe that there's opportunities to get more expenses out and the ratios to improve as we get through the rest of 2025. Do you have a follow-up?
Michael Zaremski: Yes. Quick follow-up. Just I know you made some comments on the casualty marketplace. I'm not fast enough to update all the pricing data you gave us, which is always helpful. But I'm curious, are you experiencing any acceleration in casualty pricing, either excess or retail? And do you still feel that I feel like a couple of quarters ago, you mentioned this might be an area you're willing to play a bit of offense in.
Peter Zaffino: Yes. So it's a great question. And again when we look at rate across North America, International, it's an index. And so you don't always get a line of sight. But we do see real opportunities in casualty. We're very cautious, but the rate environment is actually quite strong. I mean in Lexington Casualty, you'll start there. We had 14% rate in 2024. In retail excess casualty, we had 15%, that's the fifth year in a row of double-digit rate increases in retail excess casualty, it's above loss cost trend. So we feel like we're building margin, really strong retention. We've been able to reposition the portfolio as we've liked. We have an exceptional particularly in the US leadership with Barbara Luck. I mean we have the best underwriting team in the industry and that's being demonstrated because clients are asking us to be on their business, help structure it, help the terms and conditions. So others will be active participants in the market. And so we're leading. We're underwriting really well. We've repositioned the portfolio. We've got great reinsurance support for severity. And we're getting rate above loss cost. So I want to be very cautious and careful, but I also don't want to miss the opportunity to be an industry leader.
Michael Zaremski: Thank you
Peter Zaffino: Okay. I want to thank everybody for questions and your active participation today. In closing, I want to thank our AIG colleagues around the world for their continued commitment, teamwork and the significant contributions. I mean, we accomplish a lot every year, and we try to capture it for you today and we really appreciate joining us today. And we look forward to sharing a lot more detail on March 31st during AIG's Investor Day. Have a great day.
Operator: Thank you for your participation. This does conclude the program and you may now disconnect. Everyone have a great day.